Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Methanex Corporation Third Quarter 2015 Results Conference Call. I would now like to turn the conference call over to Ms. Sandra Daycock, Director of Investor Relations. Please go ahead, Ms. Daycock.
Sandra Daycock: Thank you. Good morning, ladies and gentlemen. Welcome to our third quarter results conference call. Our 2015 third quarter report along with presentation slides summarizing the Q3 results can be accessed at our website at www.methanex.com. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information, by its nature, is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecast or projections, which are included in the forward-looking information. Please refer to our latest MD&A and to our 2014 Annual Report for more information. For clarification, any references to revenue, EBITDA, cash flow or income made in today's remarks reflect our 63.1% economic interest in the Atlas facility and our 50% economic interest in the Egypt facility. In addition, we report our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact on share-based compensation, any impact of certain items associated with specific identified events. We report our results in this way to make them a better measure of underlying operating performance. And we encourage analysts covering the company to report their estimates in this manner. I would now like to return the call over to Methanex's President and CEO, Mr. John Floren, for his comments and a question-and-answer period. John?
John Floren: Thank you, Sandra. Good day everybody. Q3, 2015, adjusted EBITDA was $95 million and adjusted net income was $23 million or $0.26a share on diluted basis. This compares to adjusted EBITDA of $129 million and adjusted net income of $51 million in Q2. The lower EBITDA in Q3 is primarily the result of lower pricing which decreased from $150 a tonne in Q2 to $323 a tonne in Q3. During the third quarter, we made excellent progress on our Geismar 2 project and expect to achieve first methanol by the end of 2015. Our estimated combined capital cost for the two Geismar plants is unchanged at $1.4 billion. As at the end of the third quarter, we estimate approximately $110 million remaining to spend on the project. We have hedged the price to approximately 40% of our future Geismar 2 gas requirements. Combined with our existing contracted gas for Geismar 1, we now have sufficient feed stock to allow both Geismar plants to operate at a minimum rate of 70% of maintained capacity for 10 year period. We have also hedged the price for approximately 80% of our gas requirements for our medicine Medicine Hat until the end of 2016 and approximately 40% of the plant’s requirements for the 2017 to 2019 period. This natural gas strategy enhances the security of our North American feedstock while preserving our position the bottom half across curve. Demand growth is moderate in Q3. Global traditional chemical demand growth was up slightly and demand for methanol into energy applications grew modestly. Methanol to olefin’s demand was higher in Q3 versus Q2. However several plants reduced operating rates or undertook maintenance in the quarter, offsetting much of the impact of the new methanol-to-olefins capacity which came online in Q2. We have now a total of 11 completed methanol-to-olefins, methanol-to-propylene plants that have the capacity to consume, just over 10 million tonnes of methanol at full operating rates. Methanol prices move lower through Q3 as oil drop below $50 a barrel. Declining prices lead to lower pricing for oil derivatives including ethylene, propylene as well as reducing methanol affordability for methanol-to-olefins. Increased Asian propylene supply from propane dehydration units put additional pressure on propylene pricing, keeping the methanol-to-propylene operating rate at a low level. We estimate that at least 4 million tonnes of annualized methanol demand did not materialize in Q3 due to low methanol affordability for dimethyl ether, methanol-to-propylene and methanol-to-olefins. Spot pricing has stabilized in China over the past few months. Recently we announced that our November Asia contract prices unchanged from October at $305 a tonne, while our North American contract price decreased modestly to $349 per tonne. Our average realized discount relative to the weighted average Methanex posted price was 15.9% in Q3. This compares to 13.2% discount realized in Q2. Our effective discount tends to wind in periods where methanol prices decline quickly as we have experienced in Q3. New industry supply in Q4 will include the recently started Fairway Methanol facility of 1.3 million tonnes our own Geismer 2 capacity of 1 million tonnes anticipated later in the quarter. Production including trailing volume in the quarter was 1.259 KMT compared to 1.281 KMT in Q2 2015 as well our produced product inventory grew slightly during Q3. Our Geismer 1 plant operated at full rates producing 259,000 tonnes compared to 276,000 tonnes in Q2. Geismer 1 produced slightly less than in Q2 due to a brief outage that was a result of tie-in activities related to Geismer 2. The Medicine Hat plant was started in mid July producing a 123,000 tonnes in the quarter and has averaged over 1715 tonnes a day compared to 1400 a day prior to the major refurbishment activities we undertook. The New Zealand Motunui site lost approximately 80,000 tonnes of production in Q3 due to previously mentioned mechanical issues. We expect further repairs to this site in Q4 and expect to have all correct technical issues that the Motunui result by the end of 2015. We did not operate our Egypt facility in Q3, we currently expect to receive natural gas to start up a plant in the coming days. We expect that future gas supply to the plant will be significantly curtailed, especially during the summer months and we will continue to require periodic shutdowns until the countries gas, deliverability is restored. Our Chile I plant which was idle in May due to insufficient gas supply was restarted on September 27 2015. We have reached an agreement ENAP to supply the plant with gas until April 2016. This gas when combined with other sources including a tolling arrangement for Argentina gas will enable the Chile I plant to operate at approximately 40% rates. It's also possible that gas deliverability could improve a little as we enter the summer months in the southern hemisphere. We remain optimistic that progress made by ENAP in bringing new unconventional gas supplies to the market may translate into higher gas supplier for Chile assets in the future. Trinidad gas curtailments to our plants were similar in Q3 versus Q2 and we expect similar gas restrictions in Q4 of this year. During Q3 we returned over $50 million to shareholders. We paid 25 million in dividends and repurchase 629,100 shares for a total of $27 million. As at the end of Q3, we have repurchased 1.4 million shares for approximately $70 million under our normal course issuer bid which commenced on May 6, 2015 or about 30% of the 4.6 million shares allowable under this bid. In the current lower methanol price environment, we are well positioned and expect to continue to generate positive free cash flow. We have very limited near-term capital or financing commitments giving a strong confidence in our liquidity position. Our near-term capital allocation probably remains the completion of our Geismer capital project. We also remain committed to our sustainable, meaningful and growing dividend. With any excess cash, we believe that buying back our own shares continues to be an excellent use of capital. In Q4, we expect average realized pricing to be lower than what we achieved in Q3 and our produced sales volumes to be higher. As a result, we expect that Q4 adjusted EBITDA will be similar to that of Q3. I would now be happy to respond to any questions.
Operator: Thank you Mr. Floren. [Operator Instructions]. Our first question is from Daniel Jester with Citi. Please go ahead.
Daniel Jester: Good morning, John. Just a follow up on the discount rate. I know that you have said that in periods of rapidly falling ethanol price, the rapidly changing ethanol prices, discount rates tend to go higher. But if I just look at you reported posted price over the past year or two, it seems like there have been several other quarters in which there have been bigger changes and the discount rate wasn't at this level. So maybe is there anything else you can share with us about why the discount rate was this quarter?
John Floren: One of the major change was in the quarter was in Asia because we had our European quarterly price so that was set early in the quarter when prices were quite a bit higher. So, yes if oil prices change in the quarter at the same time then you would see discounts fluctuate a bit more than they did in Q3. The main factor was Asia, I remind you we post a price in Asia which is an Asia price, APCP which includes not only China but Korea and Japan, so that's why when you get large disconnects on pricing moving upwards or downwards, you will see our discount fluctuates more as a percent basis up or down in any particular quarter.
Daniel Jester: Okay, thank you and then if I remember correctly I think you've talked about upwards of $50 million or more of potential savings if you could run your plants more efficiently where higher operating rates. In light of how the market is today, is there greater urgency advance these projects? Or are there other ways if you're thinking about reducing your cost structure?
John Floren: The EBITDA generation was at a different price level than we're experiencing today. I think that calculation was made at $350 to $400 methanol and we are well below that today. So obviously in the current environment the EBITDA per tonne is quite a bit less than in the 350 to 400 environment. So that number today is probably less than half that 50 million in the current pricing environment. So we have made good progress on our plants. I think the Geismar plant has been an outstanding project running at 1.1 million tonnes per year annualized, Medicine Hat now as we have refurbished it, you know 715 a day. We're getting better operating rates in Trinidad as well. We have had some issues in New Zealand but last year and the third quarter we ran a 600,000 tonnes in the quarter. So we're pretty optimistic as we make these investments in our plants to make them more reliable that we will see higher operating rates and capture some of that $50 million dollars in EBITDA.
Daniel Jester: Great, thank you very much.
Operator: Thank you. Our next question is from Hassan Ahmed with Alembic Global. Please go ahead.
Hassan Ahmed: Good morning John. In your prepared remarks as well as a press release, you gave some commentary about the near term and on the Q4 side of things you obviously talked about some MTO facilities coming online, just seems to me that the environment be at Q4 and even looking beyond Q4, as we start looking at the first half of 2016, there seem to be quite a few scheduled ethylene turnaround is expected. So it seems to be quite a near term supportive environment for pricing, I mean is your thought process consistent with that?
John Floren: Yes. I mean our price has been trading somewhat related to the olefins derivative substitutes and now that the prices have been pretty low, certainly I mentioned TDH prices, new plans have come on which is led to really low price of the propylene. If you look at the relative ratios between oil and these different products, they are well below even their averages over the time. So I think commodity cycle as supply and demand changes and any supply outages planned or unplanned will impact these derivatives as well. Our business is a little bit more complicated today on the supply demand side because we're not just tracking traditional chemical demand which grows at GD.P/IP rates. We've got to track all of these different derivatives like propane and ethylene and propylene et cetera and those will have a huge impact on the relative affordabilities of methanol to propylene, methanol to olefin, even methanol to gasoline. So it’s difficult to predict each and every one of these products and where those pricing slates will end up but what I would say at any price slate as we complete G2 which is eminent that will be generating free cash flow. Obviously I'd like to see a price more 350 to 400 than where we are at today but even where we're at today will generate good free cash flow, no projects in the pipeline today we have very limited maintenance capital so we'll have quite a bit of cash to share with shareholders through dividends and share buybacks.
Hassan Ahmed: Fair enough and as a follow up, you touched on some of the hedging activity that you recently involved in, obviously natural [ph] gas has come down a fair bit, I mean could you just give us some sort of a rough guide, what sort of levels you hedged natural gas side?
John Floren: I think you can work it out. If we did it in the quarter, you can look at the forward curve ten years, it’s a little bit lower in the first few years a little bit higher but the gas price that we've had is really going to make our North American assets extremely competitive over the long term. Certainly if we didn't hedge, we would be paying less on a spot basis today but I think that the future is difficult to predict and to say we have ten years of 70% in Geismar for 2.2 million tonnes potential production is fantastic and certainly will underpin our business for the next ten years. So we're really happy with what we've done as far as a specific price I don't want to give guidance but certainly you can figure it out by looking at the curve.
Hassan Ahmed: Very helpful. Thanks John.
Operator: Thank you. Our next question is from Jacob Bout with CIBC. Please go ahead.
Jacob Bout: Hello all. Just a follow up on the gas hedges there. So if I understand this correctly, you are saying that you locked in a fixed gas price here the ones who just recently announced.
John Floren: It's fixed in the way that each year is a little different like I said earlier it’s a ten year curve and if you look at the outer years the curve is slightly higher than the early years of the curve but we were very happy with both the short term and the long term price that we've achieved and I'll remind you that the nice thing about what we've done is that we don't have any sharing mechanism in this product. So as methanol prices return to more normal levels, we will reap all of that benefit in our own EBITDA and cash flow, we won't have to share one-third with the gas supplier like we do in many of our contracts. So we're not only protected on the downside with a very low cost position as methanol reprises return to more normal amounts that will have windfall profits because of these hedges we put in place.
Jacob Bout: And then I think I read you have said, your 40% hedges is for any reason why you wouldn't lock-in at 100%?
John Floren: I think a pricing got to a state where we thought it was a good business to do so we look at it. Why 40%? Because we've got 100% of G1 locked up on a ten year Chesapeake contract. The minimum operating rates of both plants are 70%. So to get a gas blowout we can still operate that site a minimum rate of 70%. So that's why we've chosen 40. We still believe the short term gas situation is probably not too different in the next few years then where it is today so we'll be able to augment our production there with Spot gas but if the forward curve gets to a state where we think it's even better business to lock it in long term we'll look at that. So we may not be done yet but what we wanted to achieve first was to lock-in enough gas for 10 years to run both plants at minimal rates.
Jacob Bout: That make sense. May be just a follow here on Medicine Hat. Is the new run rate now 600,000 tonnes is that how we should be thinking about for M1 and then M2 does an investment there, so it make sense?
John Floren: The current methanol plant at Medicine Hat, we're running at 1750 a day. I think if you run at 365, that's 630, so I am comfortable with say 600. But we will know a little bit more in the next few months as we go through the new catalyst and here we are adding the [indiscernible] CO2 gas we're getting from across the fence. It's been an outstanding investment in that refurbishment and coming into the winter season here in Western Canada where the demand for methanol goes exponentially and certainly will get that capital we spent back very quickly. As far as the second plant and Medicine Hat, in the current environment it's very difficult to make significant investments but we are continuing to pursue that project. I mentioned before that we'd like to have a joint venture partner that could bring gas and take methanol. So we're pursuing those discussions. We still have this situation to deal with on how do we get the product out, IE rail, like I said earlier that most all of that product would be earmarked for Asia. So we have to figure out the logistics on the cost as well. So we're continuing to progress. That plant is spending some money. But I don't think you'll see us make an FID in the foreseeable future in the next twelve months. And we're looking at potential third plant in Geismar as well.
Operator: Our next question is from Cherilyn Radbourne with TD Securities. Please go ahead.
Cherilyn Radbourne: I was wondering if you could just provide some general perspective on what you think of the health of the Chinese economy is today based on what you can see in your business.
John Floren: We were just in China as a team a couple of weeks ago, in Shanghai and [indiscernible]. I would say it was it was more robust than I was expecting going into China. We had some presentations from government officials as well as people that are following the Chinese economy. Certainly there was a "slowdown" from the growth rates of double digit. I think it was characterized that even a 7% growth rate on the current GDP is much better than double digit growth rate a few years ago. We're continuing to see solid demand in China. They are going from an investment economy to a consumer economy much quicker than any other societies done it in. And that's good for traditional methanol demand for chemicals because as you go from a middle class kind of environment you consume a lot more methanol per year than you would in a place where you don't have a strong middle class. Houses, cars, all other things that consume methanol, furniture et cetera, so overall we're still very positive on China. And the big story there is it continues to be energy, and energy, it's China's strategy is all of the above. It's not one versus the other. It's all of the above and they're using methanol as part of that strategy. And it's not just for economic reasons, it's because it's a very clean burning fuel. But China still has significant environmental issues, water, air, and methanol can be part of the solution to really help clean up the environment. The way the Chinese officials that we meet with, as they project the next five year plan are still looking to import substantial quantities of methanol. So we see China as being a really good market for methanol for the foreseeable future.
Cherilyn Radbourne: Okay, that's helpful. And then you just indicated in response to another question that you don't foresee making an FIDE on a next plant over the next twelve months. What's your view on what happens to some of the U.S. projects that have been proposed but not sanctioned yet?
John Floren: I think in the current environment unless you have a great balance sheet it's probably going to get very tough to get financing; that would be my view. It doesn't mean that some of them won’t go forward. Certainly it was interesting to see the financing that Olin achieved as they bought the dough, chemical chlorine business, Chor-alkali business, 9.75%, which seems extremely high from what we have been able to achieve last year. So I think financing is the issue and if you look at a lot of those projects, they may have some permits, they may have even some land but I think there's a lot more that you have to have to have a project. IE financing, and engineering contract that makes sense in the current environment execution ability because of the construction and labor. And you need customers. A lot of these projects that have been announced don't have customers. And we developed our customer relationships over a long period of time and the reason they buy from Methanex is because we're liable quality supplier with multiple plants that can serve their needs. If any one of our given plants has an issue and if you have a single plant operation, that's not the case. There's a lot of things. We aren’t just making and announcement say you're going to have a project to actually go forward and execute. And I think in the current environment for all the reasons I've stated, it's pretty difficult not to mention gas contract. You know most banks when they're financing these projects like to see some sort of security on feedstock and I'm not aware of anybody else securing a ten year contract like we did for the Geismer1. So I think there's a lot of issues that need to be resolved. And then in the current methanol price environment, I'd be surprised if a lot of them go forward.
Operator: [Operator Instructions] Our next question is from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson: Looking at China and the MTO, say a couple months ago you thought that three new merging MTO plants that come on in China in this quarter and then another three in the first half of the year next year. It seems like one planet deferred; maybe give an update on that as well. Do you think utilization MTO can improve here or what's your intelligence talking of may be utilization being challenged with some of the economic and some of the derivative.
John Floren: Sure, we still have the same view as the MTO plant. I think you're referring to one that was delayed, I think by thirty to sixty days because they didn't have a proper water permit. It's what I understand but as far as they're not being delayed for "economic reasons". You know you look at the current situation with MTO and methanol to gasoline, our view would be it has probably got more upside than downside, and the future is very difficult to predict. The rates were pretty low in Q3 and two big plants, one in [Sungjong]. Both were down for maintenance issues. So they're both backups, so in our forecast for Q4, we see demand overall globally going up quite nicely from Q3. So again the future is hard to predict. But I think there's a lot more upside to the demand than downside. I mentioned on an annualized basis we've seen in the third quarter about 4 million tons of demand not operate for economic reasons, never mind technical reasons. We think there continues to be quite positive about the demand profile for the industry going forward.
Joel Jackson: My second question thing in China, you in last quarter talked about may be the floor supports being around 260 - 280 a ton, I think over the last couple months maybe it's come down to lower part of that range; means where are we now? Obviously pricing is below that. But where do you think the floor supports are?
John Floren: Yes, I think it's probably $20 less than what I said last time. So 240 to 260 while we had a bit of devaluation in that one. I mentioned as demand is off so that does have an impact of the cost curve cold a bit, a little bit less. There's anticipation around maybe gas prices changing in title although nothing's officially been announced yet. Spot prices today are 240-ish and they've been in that range for quite some time so that's why we see stability on the pricing. It doesn't mean they can go lower but again we would see with the new demand coming on and the current environment, there are more upside than downside. If it's 240, we would like to rather see it at 340. But at 240 we're still going to generate significant cash flow as we complete our Geismar2 project.
Operator: Our next question is from Duffy Fischer with Barclays. Please go ahead.
Duffy Fischer: Question around the shift in the Gulf Coast of the U.S. with the Bishop-Texas plant coming up, that obviously just places big supplier and a big buyer, and we often think things are just sterile. We look at a supply demand. There's ten units of production and ten units of demand and it all works out. But it's actually a lot of physical stuff goes in. How bumpy has that transition been for that displaced product and is that causing some extra pain in the near term?
John Floren: Well, it hasn’t been that bumpy. Most of the contracting is done by now for next year. The million tons that's coming out of the U.S.; because of this new plant that [indiscernible] has and mainly the Trinidad product that's going to find a new home. There's a bit of increased rivalry in some of the customers on the discount side. But I'd say it's not material. But we would expect in certain accounts, and maybe that we're not even participating in getting a higher discount in 2016 than they did in 2015. It's not 100% transparent to us where that million ton is going yet. But we will certainly follow it. We have our global supply chain. So the product that we're going to bring on in guys where the existing plant and the new plant. We have the ability to readjust our supply chain. So you wouldn't expect to see any increased rivalry because of our new production. And I will remind you we also off take quite a bit a product in the United States as well for other players. The big question mark is what is that Trinidadian competitor do with that million tons. So far we've seen a bitter rivalry in some of the accounts but not significant to worry us at this point.
Duffy Fischer: And then between that plant and your plant in the U.S., does that bump somebody off of million-- because we're big importer into the U.S. So when you think about the marginal cost of somebody to import, does that change that marginal cost with your two plants, i.e., does it move it, let's say from somewhere in Asia shipping into the U.S. to Trinidad, so you kind of lose that support on pricing.
John Floren: So the import market in the U.S. has been mainly Trinidadian product. Ours and our competitors, a bit of Venezuela and some from Equitorial Guinea, it hasn't been from anywhere else. As you get more production in the U.S. we have the flexibility in our supply chain to do a lot of things. I will remind you guys we are with set up that we can import, export, rail, truck, barge from that side. So we can bring in 45,000 ton vessels. We can take out 45,000 ton vessel. So we have a lot of flexibility on that side to do things that we think are best for our overall supply chain. We'll look at that on a regular basis and make those decisions. So as we see the fairway plant run, we have good success on our G2 plant. What we will look at what makes sense for overall global business and act accordingly.
Operator: Our next question is from Steve Hansen with Raymond James. Please go ahead.
Steve Hansen: John, just a quick question on the buyback. You eluded that your priority still being completion of the Geismar2, I think that stands to reason here in the short term. But just as you're thinking about the buyback and what you've left, what are your thoughts there in terms of how aggressive you want to be or not or just the broader strategy around the buyback in the short term, at least the cadence of it?
John Floren: We've continued to buy back shares this quarter. We do have the Geismar project that we want to complete. We'd like to see where the pricing seems to have stabilized, but we'd like to see how that evolves. So we will be cautious. We're not going to be overly aggressive on the buyback. You would have seen that from the Q3 numbers and we will look at it on a regular basis and make decisions as a factor of our free cash flow generation and what our share price is trading at any given time. So we do have flexibility to change the buyback in the non-blackout periods at any time. We've traditionally been in the market on a daily basis. And we don't change the amount we've been buying frequently. So we'll continue to be, I'd say cautious and prudent. And I think once we have success with G2, which is imminent, we will be a little bit more ready to buyback more shares because we want to have any really large capital requirements post G2, but the next for me, the next major milestone in our company is to light the furnace in G2 and we'd be producing 3000 tons a day of methanol. And that's not too far away.
Steve Hansen: And just a follow up on G2, there is a little bit of a timing differential I believe between first methanol at G1 and actual seeing new commercial sales on the P&L. How should we think about G2 given the -- you got existing sort of inventories such in the system already, so we expect it to be more quick I guess or quicker show up in those lines?
John Floren: I'd say similar. In our current plant is to be producing methanol by the end of the year so in Q4 I wouldn’t expect anything. We may produce methanol in Q4. That's our current anticipation. As of how it flows through on the FIFO layers, is there anybody to guess, but I would probably be similar to what you saw with G1.
Steve Hansen: So is it reasonable to assume that part of quarter one gets a dose of good line from G2.
John Floren: I think part of quarter one assuming success on starting up the plant and running the plant will see some impact in Q1.
Operator: Our next question is from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: Two quick ones. One, do you have any chunky maintenance items that we should be taking into account in 2016 or 2017. And if we're in any softer or lower oil price environment for several years, at what point does that start to change the way you think about strategic priorities for the company?
John Floren: Yes, I think about G2, we will have about ten plants running give or take, and the normal turn around cycle for our plants are three to four years. So I think you should anticipate, any given year we're going to have some plants in a turnaround mode. What we've done, all of our major refurbishments with the exception of our small plant in New Zealand which we now plan to do until we have a longer term gas outlook in that country, i.e., our former gas supplies. So for next year you should expect us to have a normal turnaround. Some of our plants we're not going to guide exactly when that will be. I'll remind you, our guidance on capital hasn’t changed as we bring up G2, around $80 million a year, 8 million tons of operating capacity is what you should expect. It doesn't mean some year that might be 70, some years it might be 90 but that's the run rate. So for every million tons we're operating, about $10 million a year. As far as strategy I think it's way too early to anticipate changing our strategy. Certainly if you have a view that oil is going to remain where it is for the next ten years then it's something we'll need to seriously look at. That's not our current view. If that did become our view, we'd certainly look at a strategic alternative. But that's not our current view, Laurence.
Operator: Our next question is from Robert Kwan with RBC Capital Markets. Please go ahead.
Robert Kwan: John, there's not a lot of plants held by and called independents and the non-NOCs at least when you look at the ones that are out there do you see the potential for any of those plants to come up for sale particularly given the weak pricing environment.
John Floren: There's always potential. Robert, we've talked to the non-NOCs on a frequent basis and some of them are oil companies. And if they have a view of the current environment is going to last for some time then they may want to shed some assets that are "non-strategic", that's not related to their core or oil business. So it's a possibility. We have nothing imminent to report. As we look at different opportunities and there's been some recent transactions in the industry, the price that people are able to achieve for those assets are certainly a lot more than what we would be prepared to pay. So I can't imagine standing in front of my shareholders saying we're trading at 600 and I just bought this great business at $1300 a ton. So the way I look at it, once we get G2 running with Medicine Hat, we will have 2.8 million tons of low cost capacity running in the United States. I look at what recent transactions have been cheap, probably today trading at our North American assets with every free option on Trinidad, Egypt, Chile, New Zealand, our shipping business and our franchise. So I can't imagine us finding a situation in the near term where companies going to want to sell their business for $500 a ton or $600 a ton.
Robert Kwan: Fair enough and if I can just ask a quick question about Egypt; I think you mentioned that you're expecting gas in the coming days. Is that something where you've been given the indication of that it's scheduled for delivery, or is that just based on where we are in the year? Typically this is when you start receiving gas.
John Floren: I would remind you that our partner there is the Egyptian government for a third of the plant. So we're tied there. We are in regular conversations with the Egyptian government. They've indicated to us, they're going to start to flow gas through our plant in the coming days, any time, they've indicated that to us in the past they've been true to their word in the top of the soul. That doesn't mean the future is going to be predicated by the past. But we do expect to get gas in the coming days and to start up that plant. I would remind you that plan is not for a long time. We've obviously taken the time to do things to make it more reliable but anytime you have to plan down that long, there could be issues but we're not anticipating. But we will know more in the next week or so.
Operator: Our next question is from [Vin Velappan][ph] with Scotiabank. Please go ahead.
Ben Velappan: A quick one, just to clarify on Chile. Would you expect to have enough gas to run that 40% till April or for a full calendar year 2016?
John Floren: That's a little early, Ben, now to give you guidance on that. We've traditionally said we'll run in their summer months, our winter months. The way the gas profile looks today, we believe there's a good opportunity for us to run right through their winter, but it's still a little premature. So I think we're going to run at good rate till April, and we think there's an opportunity for us to run right through the winter next year, but still a little early to guide to that.
Operator: Our next question is from [indiscernible] with Goliath Capital. Please go ahead.
Unidentified Analyst: A question about the U.S. gas supply. As you indicated some of the announced projects may not come through but I'm curious, many of these projects were announced a time when it appeared that U.S. gas and oil supply would kind of be going up an unlimited fashion and I'm just wondering with current oil prices a lot of the shale oil projects have become uneconomic due to the kind of low very-very short depletion rates and the high capital costs of drilling. So I'm wondering and my question is whether you've examined kind of this dynamic and whether you think that the gas supplies in the U.S. may not be as robust as they were projected a few years ago and whether that's either going to affect some of these announced projects or your supply going forward to your plans?
John Floren: That's a good point. It's difficult to predict the future and it changes all the time and that's why we've tied up 70% for ten years, because we really don't know beyond the next few years what the gas supply is going to be in the U.S. And there's a lot of variables as you pointed out. When we look at the market, there is 500 TCF of gas that has a cash cost of $4 or less. That's a lot of gas. That doesn't mean that can go pretty fast if there's supply turned off in large L&G exports and that's why we've tied up supply for our G1 and G2 plant site, pretty comfortable in next few years. But if I'm looking, let's say on my G3 project where it's a Greenfield kind of more Brownfield, but $1000 a tonnage type project, I don't get my cash back to a year -- and I've got a three to four year construction window. So not having a secure source of supply for feedstock, with a lot of risk under the project that I think some of these projects that have been announced are experiencing the same kind of risk profile. So just when you think you've got things figured out, the markets change and I wouldn't be surprised to see for a supply and demand reasons that the gas market over the next ten years in the U.S. change as well.
Unidentified Analyst: And with respect to your long term supply contractor, are you basing the assumption that this gas is already discovered, it's producing the 500 TCF, it's kind of in the ground and you don't need an operator to have the economics to drill more wells at a capital cost that may or may not be economic for them?
John Floren: It's a good point. That's the reserve, so there would have to be capital spent to develop those reserves and the current price of $2 change, then not to mention the oil price, just a lot of capital being spent. So you'd have to see a different outlook for oil for the associated gas as well as for the dry gas. Having said that the numbers that we're seeing now at the Utica, never mind it looks bigger than the Marcellus; the reserves are there. You're right they have to have an economic return and E&T companies have not been good at returning their cost of capital. So it is a risk and I would agree with you that's a risk to developing these reserves. As far as our contract, those are existing on the first contract. Like I said we've hedged the price on ten years for the others. So we think there's enough physical reserves to meet those contracts.
Unidentified Analyst: Without them having to -- and your supplier will be able to spend the necessary capital. Even if they're not getting the economic return on it to supply you that gas I guess that's what I'm still unclear about.
John Floren: Yes unless they go insolvent. If they go insolvent that's a different issue. But to answer you --
Unidentified Analyst: Are you thinking you might have to change your contract in order to allow them to make an economic return to supply of the gas? Is that a risk?
John Floren: No.
Operator: Thank you. [Operator instructions]. Our next question is from Chris Shaw with Monness, Crespi. Please go ahead.
Chris Shaw: Good morning. How you all doing? Couple of quick ones, just on Motunui, you have said, there has been new disruptions in the fourth quarter, whether these are similar volume size as they were in 3Q?
John Floren: I'd rather not guide to that but I think we have some work to do to continue to do and we won't be running at full rate in Q4.
Chris Shaw: Got it and then, I remember you have talked about this before on the last call but there was a pretty big gas line in Egypt. If you read about that I mean that would be meaningful for you guys eventually or sooner than later given any opinion on that?
John Floren: Yes, so the gas line with ENI was 30 TCF of gas, so a big-big amount of gas. They have recently announced that they think they can start to flow some of that gas in 2017 periods. So that's really good news for Egypt and you know certainly they are looking to import L&G and gas from Israel and Cyprus and all and I think with that find and other people are spending tens of billions of dollars as well in similar type of geology and basins, so I think that was a tremendous medium term uptake for Egypt. So it still has to be developed and they are going forward developing it. So we still expect the next few years in Egypt to be quite bumpy but that was a piece of good news for the long term viability of gas in Egypt our plant, to fertilizers and electricity. I will remind you about the country, the country is doing a lot of good things to look at the demand for gas as well. There are over-time removing the subsidies, they are changing some of the old power plants to combine cycle units which are much more efficient. So they're doing a lot of things to make the medium term gas availability better than it has been since the revolution. So what we're still going to experience some pain in the coming few years but over the time we expect things to get back to a more balanced situation.
Chris Shaw: Great. Thanks a lot.
Operator: Thank you. Our last question is from Steve Hansen with Raymond James. Please go ahead.
Steve Hansen: This one quick follow up. If you could given a indication from the government on how much gas you can be getting in Egypt, is it started is imminent but should we look at rates we expect that the plant to run at?
John Floren: We've got into that before Steve. When we're running we're expect to run at minimum 70% rates. As we get into their winter time, there might be a bit more gas available but I have guided to 70% still comfortable with that.
Steve Hansen: Okay, very helpful. Thank you.
Operator: Thank you. There are no further questions registered. At this time, I would like to turn the meeting back over to you Mr. Floren.
John Floren: Thank you. Methanex has an excellent liquidity position. It will continue to generate solid free cash flow in today's methanol price environment. Further, with the anticipated start up of our Geismar 2 plant, we are poised to benefit from this new low cost production as well as any recovery in the methanol price. While we will continue to develop growth opportunities for our company, we are committed to allocating capital in a manner that we believe is optimal for shareholders. Thank you for interest in our company.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.